Operator: Good morning, everyone, and welcome to the Trulieve Cannabis Corporation’s Fourth Quarter and Full Year 2021 Financial Results Conference Call. My name is Rocco, and I will be your conference operator today. As a reminder, this conference call is being recorded. I would now like to introduce you to your host for today’s conference, Christine Hersey, Director of Investor Relations for Trulieve. You may begin.
Christine Hersey: Thank you. Good morning and thank you for joining us. During today’s call, Kim Rivers, Chief Executive Officer; and Alex D’Amico, Chief Financial Officer, will deliver prepared remarks on the financial performance and outlook for Trulieve. Following their prepared remarks, we will open the call to questions. Steve White, President, will also be available to answer questions. As a reminder, statements made during this call that are not historical facts constitute forward-looking statements, and these statements are subject to risks, uncertainties and other factors that could cause our actual results to differ materially from our historical results or from our forecast, including the risks and uncertainties described in the Company’s filings with the Securities and Exchange Commission, including Item 1A, Risk Factors of the Company’s Annual Report on Form 10-K for the year ended December 31, 2021. Although the Company may voluntarily do so from time to time, it undertakes no commitment to update or revise these forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. During the call, management will also discuss certain financial measures that are not calculated in accordance with the United States Generally Accepted Accounting Principles, or GAAP. We generally refer to these as non-GAAP financial measures. These measures should not be considered in isolation or as a substitute for Trulieve financial results prepared in accordance with GAAP. A reconciliation of these non-GAAP measures to the most directly comparable GAAP measures is available in our earnings press release that is an exhibit to our current report on Form 8-K that we furnished to the SEC today and can be found in the Investor Relations section of our website. Lastly, at times during our prepared remarks or responses to your questions, we may offer metrics to provide greater insight into the dynamics of our business or our quarterly results. Please be advised that we may or may not continue to provide these additional details in the future. This morning, we reported results for the fourth quarter and full year 2021. A copy of our earnings press release and an accompanying PowerPoint presentation may be found on the Investor Relations section of our website, www.trulieve.com. An archived version of today’s conference call will be available on our website later today. I will now turn the call over to our CEO, Kim Rivers. Please go ahead.
Kim Rivers: Thanks, Christine. Good morning, everyone, and thank you for joining us today. We are thrilled to report record fourth quarter and full year results, capping off what has been a truly remarkable year. 2021 was full of monumental achievements, including the Harvest acquisition. Our ability to produce record results while continuing to execute during the most transformative year in our company’s history is a true testament to the capabilities of our organization. We have made substantive progress while remaining disciplined and fully committed to our plan. Trulieve is well positioned at this early stage of the U.S. cannabis industry and have never been more confident in our ability to capitalize on the opportunities ahead. Contributions from organic growth, acquired assets and strategic positioning of assets drove outperformance in 2021. Full year record revenue was $938 million, up 80% compared to $521 million in 2020. This impressive growth was achieved with an industry-leading GAAP gross margin of 60% and adjusted EBITDA margins of 41% or $385 million for the full year. Trulieve achieved fourth quarter record revenue of $305 million, up 81% year-over-year and 36% sequentially. Fourth quarter adjusted gross margin was 59% and adjusted EBITDA margin was 33% or $101 million, representing our 16th consecutive profitable quarter. Trulieve has a long track record of success, consistently demonstrating operational excellence and standout financial performance. Our history as the most profitable multi-tier operator is rooted in our purposeful approach and steadfast commitment to our strategy. We did not participate in a frenzied M&A land grab in 2019. Instead, we recognize the significant potential in our home state of Florida, choosing to invest heavily, building a solid foundation for sustainable growth. Consequently, Trulieve was incredibly well positioned in 2020 during the accelerated growth period brought on by COVID-19 and government stimulus. By tuning out the noise and focusing on the tremendous opportunity in our backyard, we were able to establish a powerhouse operation and commanding market share in the most attractive medical market in the U.S. Our leadership and success with the strategy to go deep in high conviction market is undeniable. In 2020, we communicated our plan to build further upon the success through our regional hub strategy. We identified 5 regional hubs to service cornerstone for growth in the U.S. We articulated our intention to diversify our business by geography and channel, while building out a distribution platform for branded products. By building depth and scale in attractive markets, we could expand access to customers while generating fast and favorable returns that could be redeployed. With a broader retail platform and wholesale network, Trulieve could introduce and develop new and innovative products while bringing valuable insights about customer preferences and trends. This regional hub expansion strategy was designed and further as of Trulieve’s vision to become a leading purveyor of high-quality cannabis products in the markets that we choose. In 2021, we delivered on our strategy big time. We made remarkable progress expanding through our regional hub strategy with organic growth in seven M&A deals valued at $1.5 billion. We added valuable talent and strategic assets in cultivation, processing and retail, while firmly establishing our position in the Southwest. The transformational Harvest acquisition turned the page to a new chapter in our Company’s history, establishing a market-leading position in two additional hubs. At the beginning of 2021, Trulieve operated in 4 states with a significant concentration of the business in Florida. Exiting 2021, our operations covered 11 states across 3 regional hubs with revenue from retail and wholesale, serving both medical patients and adult-use customers. In 2021, we increased our retail footprint by 84 stores or 112% and exited the year with 159 locations in eight states, inclusive of market-leading positions in Florida, Arizona and Pennsylvania. Importantly, at year-end, 30% of our retail locations were outside of the state of Florida. As we continue to expand and diversify our business, the value of our platform becomes increasingly apparent. Performance metrics demonstrate the strength of our growing retail network. Following phenomenal revenue growth of 106% in 2020, same-store sales in the legacy Trulieve portfolio in 2021 declined by just 1%, representing a modest decline in a year with tough comparisons. Excluding locations opened in 2018 or before, same-store sales in that same portfolio increased by 8%. In the fourth quarter, we began to relocate older locations in Florida to improve performance, and these efforts will continue this year. On a pro forma basis, driven primarily by the introduction of Arizona recreational sales, same-store sales of the combined company increased by 19%. In 2021, our 159 dispensaries generated approximately $2,500 in sales per square foot based on days open for the full year. Company-wide, active customers visited our stores on average of 2.9 times per month with an average basket size of $87, and medical-only market average basket size was $101. Our retail metrics are significant, considering the potential to unlock future value when recreational sales are permitted in more markets. Comparing the fourth quarter 2021 with the third quarter, customer retention was 82%, company-wide. Now, turning to supply chain. To support our growing distribution network, we added over 1.6 million square feet of cultivation and processing capacity in 2021, increasing our upstream supply chain by 89% to over 3.5 million square feet. Notably, we added significant scale and depth in our high conviction cornerstone markets. In 2021, we produced 25.1 million units, up 77% from [Technical Difficulty]
Operator: Pardon the interruption, everybody. This is the conference operator. Apparently, we lost the speaker location. If we can stand by here one moment, we will join them right back in. Please stand by. Everybody, this is the operator. We’ve rejoined the speaker location. Please proceed, ma’am.
Kim Rivers: Hello, everyone. So, this is Kim, and I’m going to just start back at where I think that maybe we left off, and I apologize if it’s redundant. So, you’re going to get to hear about our retail network again, which I know everyone is very excited about. As we continue to expand and diversify our business, the value of our platform becomes increasingly apparent. Performance metrics demonstrate the strength of our growing retail network. Following phenomenal revenue growth of 106% in 2020, same-store sales in the legacy Trulieve portfolio in 2021 declined by just 1%, representing a modest decline in a year with tough comparisons. Excluding locations opened in 2018 or before, same-store sales in that same portfolio increased by 8%. In the fourth quarter, we began to relocate older locations in Florida to improve performance, and these efforts will continue this year. On a pro forma basis, driven primarily by the introduction of Arizona recreational sales, same-store sales of the combined company increased by 19%. In 2021, our 159 dispensaries generated approximately $2,500 in sales per square foot based on days open for the full year. Company-wide, active customers visited our stores on average of 2.9 times per month with an average basket size of $87, and medical-only market average basket size was $101. Our retail metrics are significant, considering the potential to unlock future value when recreational sales are permitted in more markets. Comparing the fourth quarter 2021 with the third quarter, customer retention was 82% company-wide. Now turning to supply chain. To support our growing distribution network, we added over 1.6 million square feet of cultivation and processing capacity in 2021, increasing our upstream supply chain by 89% to over 3.5 million square feet. Notably, we added significant scale and depth in our high conviction cornerstone markets. In 2021, we produced 25.1 million units, up 77% from 14.2 million units in 2020. With our continued investment in supply chain capacity, we expect to further increase our scale and depth in 2022, improving our financial performance and preparing for future catalysts. By controlling more of the value chain internally, we are better equipped to manage through external macroeconomic pressure and absorb changes in the competitive landscape, including price compression. Our expertise and capabilities and rapidly scaling and operating supply chain capacity are a distinct competitive advantage. In addition to expanding our network and reach, we introduced a new branded product portfolio and integrated acquired brands from Harvest. Our combined portfolio includes a broad range of offerings across consumer segments and form factors. By offering a variety of products at appropriate price points, we are able to meet customer needs. Our data consistently shows customer preferences exhibit a barbell distribution pattern with higher demand for premium and value products. We are continually evolving our product offering with a particular emphasis on premium and value-tier products that speak to customers. During 2021, Trulieve introduced over 475 SKUs, exiting the year with over 1,000 SKUs and brought a number of new and innovative products to market, including the first hydrocarbon extracted concentrates in Florida. Differentiated products are an important part of our strategy to meet patient and customer demand while building and reinforcing long-term brand value. Regional and local brand partnerships complement distribution of our own brands. In 2021, we launched our branded products into new markets with brands such as Alchemy, Cultivar Collection, Modern Flower, Muse and Roll One, increasingly available to customers as part of the Trulieve offering. Although we are just beginning to promote branded products more broadly across our networks, we are highly encouraged by the initial success of recent product launches. Throughout 2022, we will continue to bring our branded products into new markets and expand our distribution channels. Our track record of profitability and disciplined capital allocation affords us access to growth capital at industry-leading terms. In 2021, Trulieve completed two oversubscribed capital raises with $227 million in equity and $350 million in debt. Given the volatility in the equity markets and for U.S. cannabis in particular, we structured the Harvest transaction as a relative ratio of share exchange, insulating both sides from sentiment-driven moves in the sector. As the sector underperformed in the months between the deal announcement and closing in October, this deal structure allowed the transaction to move ahead. In accordance with our plan, we were able to repay and reposition high cost and short-term Harvest debt shortly after the deal closed. In January, we closed a second tranche of 8% senior secured notes, totaling $75 million. Trulieve has sufficient capital to fund our growth plans and strategic initiatives in 2022. We are investing in our assets, teams and infrastructure to support future growth and position our operations ahead of catalysts. During the fourth quarter, we began the process of fully integrating teams and assets from Harvest. We repaid Harvest debt, integrated branded products, organized teams and rebranded 14 retail locations in Florida. We continue to see outperformance in the converted Florida stores. We saw a 75% increase in the number of transactions in December compared to August and the 11 Harvest stores that were opened during both periods. This year, we have continued our integration efforts with the rebranding of 15 acquired and affiliated retail locations in Maryland and Pennsylvania. Throughout this year, we will continue to streamline operations. As part of our ongoing optimization of assets, we acquired indoor cultivation capacity in Arizona. In Pennsylvania, we have taken steps across our affiliates, refining our product -- production schedules, product mix and allocation of products to our retail and wholesale channels. We are investing in systems and infrastructure to realize efficiencies and support our growing platform. In 2021, we did exactly what we said we would do. We stayed true to form and laser focused on our long-term strategy. We did not stray from our plan or pivot and reaction to external noise. We have a clear and defined strategy and well-established criteria for markets that fit our definition of attractive. Early on, our organization made a conscious choice not to pursue profitless prosperity through deals that do not fit our strategic plan. We remain committed to prudent capital allocation. Towards the end of 2021 and into this year, U.S. cannabis has seen macroeconomic headwinds and increased pricing pressure in select markets. The U.S. consumer has exited a period of lower expenses and government stimulus driven by COVID and entered a new period defined by rising inflation. Cannabis is an all-cash business and is susceptible to macroeconomic pressure on disposable income. Regardless of short-term headwinds or transient economic conditions, U.S. cannabis presents a generational investment opportunity. Trulieve has already achieved unmatched scale and success in Florida, and we are now building scale to support our leading retail presence in other cornerstone markets. We are undeterred by short-term market conditions and committed to manifesting our long-term vision. We are building a leading company in an emerging industry, not casually making a short-term trade and a passing fad. We have seen this movie before. Sentiment turns negative in response to short-term challenges and then returns with greater force when catalysts become more readily apparent. We observed this phenomenon in November when the States Reform Act was introduced and again, over the past week as excitement builds around the prospect for SAFE Banking legislation and the MORE Act. We don’t know the exact timing of all the upcoming catalysts on the horizon, but we certainly expect to realize upside in the future as new markets like Georgia and West Virginia open and as adult-use sales launch in Connecticut, Florida, Maryland and Pennsylvania. In the meantime, we are staying true to form, tuning out the noise and executing on our strategy. We have a plan to improve our operations and performance in ‘22, while positioning our assets ahead of future catalysts so that we are ready when those opportunities arise. We are reinforcing our leadership position and setting the stage for the future with four strategic initiatives. First, we are delivering exceptional customer and retail experiences with convenient transactions, frictionless returns, broad and innovative product assortment across multiple segments and enhanced loyalty and rewards programs. We are focused on solidifying customer loyalty and long-term brand value. Second, we are continuing to expand through our regional hub strategy with investments to deepen our presence in cornerstone markets and develop emerging markets, we are expanding our reach and distribution network. By adding upstream supply chain capacity in Arizona and Pennsylvania and expanding our footprint in Florida, we can further leverage our existing scale and depth in cornerstone markets. We are continuing to invest in Connecticut, Maryland and West Virginia. At the same time, we recognize the value and growth potential in new medical markets like Georgia. We are very bullish on new market opportunities in the Southeast, and we fully expect to play a meaningful role in the development of these markets in the coming years. Third, we are distributing branded products through branded retail and wholesale channels, which is enabled by our investments in supply chain capacity. We are in the early stages of this endeavor, and we have a significant opportunity ahead to bring our own internally produced branded products into more of our markets. We expect to realize improved margins in the second half of ‘22 as optimization initiatives and additional supply chain capacity take hold. As we open new doors and convert acquired locations to the Trulieve brand, we are increasing the number of Trulievers. Moving branded products through branded retail is critical to reinforcing customer loyalty, building long-term brand equity and improving margin performance. And finally, we are continuing our disciplined approach to capital allocation. Our resolve to stay true to form has served Trulieve very well. Our restraint in 2019 preserved the strength of our balance sheet, ultimately leading to better opportunities for strategic diversification in 2020 and 2021. We will remain disciplined with our approach to M&A, adhering to our stringent criteria. In summary, 2021 was an extraordinary year for Trulieve, highlighted by many significant achievements and underscored by the transformational acquisition of Harvest. Looking ahead, we are energized and focused as we write the next chapter in our company’s history. Trulieve is poised and ready to define the future of cannabis. With that, I’ll turn the call over to Alex for more details on our results and current outlook.
Alex D’Amico: Thank you, Kim, and good morning, everyone. 2021 was an exceptional year in our company’s history as evidenced by our rapid growth and record results. In just one year, we have transformed the complexion of our organization, expanding our operations nationally and setting the stage for future growth in the years to come. It has been incredible to witness the continued evolution of this organization within such a short period of time. We’re proud of how far we’ve come and excited to reach new heights in 2022 as our strategic initiatives drive continued outperformance. During today’s discussion of our reported financials, please bear in mind that our fourth quarter results represent an initial reset for our organization following the largest U.S. cannabis transaction to date. As we have previously indicated, we expect short-term results to show nonlinear trends and impacts due to noncash accounting treatments associated with the deal, initial inefficiencies in our operations immediately following closing and contributions from lower-margin operations that we believe can be significantly improved in the year ahead. We anticipate our reported results will improve as we progress with our plan to streamline and optimize the recently acquired assets. Our company has already demonstrated the potential for operating leverage and profitability that can be realized by going deep into and scaling operations in attractive markets. We delivered record full year revenue of $938.4 million, an increase of 80% compared to $521.5 million in 2020. Record fourth quarter revenue of $305.3 million increased 81% year-over-year compared to $168.4 million during the fourth quarter of 2020. Fourth quarter revenue increased 36% sequentially compared to $224.1 million during the third quarter and included a full quarter contribution from the Harvest acquisition. Trulieve ended 2021 with 159 dispensary locations. As of March 30th, Trulieve owns or operates 162 dispensary locations, supported by over 4 million square feet of cultivation and processing capacity. Full year GAAP gross profit was $566.1 million and gross margin was 60% compared to $386.4 million and 74% in 2020. Excluding the impact of transaction-related charges, full year adjusted gross profit would have been $621.4 million, and adjusted gross margin would have been 66%. In the fourth quarter, reported gross profit was $132.4 million or a gross margin of 43% compared to $119.9 million or 71% during the fourth quarter of 2020. Excluding the impact of transaction-related charges, fourth quarter adjusted gross profit was $180.6 million or adjusted gross margin of 59%. As we have signaled before, adjusted gross margin was primarily impacted by revenue contribution from Harvest assets. In line with seasonal trends, promotional activity during the fourth quarter increased as part of holiday events. Looking ahead, we expect first quarter GAAP gross margin will include some transaction-related charges, and we anticipate those impacts will decrease in the second and third quarters of 2022. We expect gross margin will continue to fluctuate quarter-to-quarter depending on product and market mix and inventory flow through. Turning now to SG&A expenses. For the full year 2021, SG&A expenses were $315.7 million or 34% of revenue compared to $155.5 million or 30% of revenue during 2020. SG&A expenses in the fourth quarter were $117 million or 38% of revenue compared to $52 million or 31% of revenue during the fourth quarter of 2020. Fourth quarter expenses included approximately $20.6 million of transaction and integration-related charges primarily associated with the Harvest acquisition. Excluding these charges, fourth quarter SG&A was $96.4 million or 32% of revenue. SG&A was impacted by expenses to enter new markets, stock readiness and new system implementations. As we continue to invest for future growth, we expect quarterly fluctuations in SG&A expenses as investments are made ahead of increases in revenue. Depreciation and amortization expense for the full year increased to $48.1 million from $12.6 million in 2020. Depreciation and amortization expense in the fourth quarter increased to $28.3 million compared to $4 million in the prior year. Approximately $20.4 million of the increase was due to the additional depreciation of fixed assets and amortization of intangibles from the Harvest transaction. This increased depreciation and amortization expense will be recurring in nature over the useful life of the underlying assets. Net income was $18 million for the full year 2021 compared to $63 million in 2020. Excluding nonrecurring charges, net income would have been $123.4 million in 2021. Full year 2021 earnings per share was $0.12 compared to $0.53 in 2020. Excluding nonrecurring charges, full year earnings per share would have been $0.84. Net loss was $71.5 million for the fourth quarter compared to net income of $3 million for the fourth quarter of 2020. Excluding nonrecurring charges, fourth quarter net income would have been $1.8 million. Fourth quarter 2021 loss per share was $0.49 compared to earnings per share of $0.03 in the fourth quarter of 2020. Excluding nonrecurring charges, fourth quarter earnings per share would have been $0.01. We expect transaction-related charges will continue to impact reported EPS throughout 2022. Turning now to adjusted EBITDA. Full year 2021 adjusted EBITDA was $385 million or 41% compared to $260 million or 50% during 2020. For the fourth quarter 2021, adjusted EBITDA was $100.9 million or 33% compared to $81.4 million or 48% during the fourth quarter 2020. Adjusted EBITDA was lower due to the expansion into lower-margin markets and channels. We expect adjusted EBITDA to improve as we optimize assets and execute on our strategic plan. Turning now to our balance sheet and cash flow. During the fourth quarter, we completed $350 million private placement of five-year senior secured notes at 8%, and we retired $293 million of debt. We ended 2021 with $234 million in cash and $479 million in debt. Operating cash flow in 2021 was $13 million and would have been $118 million, excluding nonrecurring and transaction-related charges. We expect to generate positive operating cash flow in 2022 with greater contribution in the back half of the year. In January, we closed a second tranche of 8% senior secured notes totaling $75 million. Our strong cash generation and financial profile provide flexibility to invest in growth while supporting our strategic initiatives. Company-wide capital expenditures in 2021 totaled $276 million. In 2022, capital expenditures are forecasted to continue at a similar rate corresponding with our strategic plans. Consistent with past performance, we will continue to evaluate the return on capital for each project and market as we build, scale and depth and position our operations ahead of future catalysts. Turning now to our outlook and guidance for 2022. Based on our current expectations of performance year-to-date, we are issuing 2022 guidance of $1.3 billion to $1.4 billion in revenue and $450 million to $500 million in adjusted EBITDA. For the full year 2022, we expect to open between 25 and 30 new dispensaries company-wide and relocate up to 6 existing stores in Florida. We do not expect to realize linear quarterly revenue growth in 2022. We anticipate first quarter 2022 revenue will be flat with flat adjusted gross margin compared to the fourth quarter 2021. Given the timing of investments and ramping up supply chain capacity, we expect to report stronger performance in the back half of 2022 and exiting the year. As such, we expect adjusted EBITDA to be comparable in the first quarter compared to the fourth quarter 2021. Longer term, over a 2- to 3-year horizon, we believe adjusted gross margins of at least 60% and adjusted EBITDA margins of at least 40% represent a reasonable target model. We expect fluctuations in our quarterly results may exceed this range during periods where we have catalysts and favorable operating conditions and may underperform this range during periods when we are investing for future growth. In closing, I’d like to express my thanks and offer congratulations to the team here at Trulieve for their significant contributions and impressive achievements over the past year. I look forward to building further upon this solid foundation and working to fully realize our true potential. We have already made incredible progress year-to-date, and the best is yet to come. We are highly confident in our ability to execute on our plan and reach our stated goals. And with that, I’ll turn the call back over to Kim.
Kim Rivers: Thanks, Alex. 2021 was another incredible year for our company, and yet, as Alex said, we’ve only just begun. We are still in early innings for U.S. cannabis. Every day, cannabis becomes more widely recognized in the U.S., signaling a new paradigm of mainstream acceptance. We remain steadfast in our conviction that change will eventually come. We are encouraged by the ever increasing level of discourse and activity focused on meaningful federal reform as we expect to be evidenced by the vote in the House on the MORE Act this week. We are proud to be at the forefront of this ever-changing and rapidly evolving industry, contributing to the development and expansion of access to cannabis. We continue to advocate for change at all levels, recognizing that every advancement is indeed an important and necessary step along the way to victory. To quote the late Ruth Bader Ginsburg, “Real change, enduring change, happens one step at a time.” We understand the importance of Trulieve’s position as a pioneer in the industry and our responsibility to serve all stakeholders. Over the past year, Trulieve added bench strength and industry expertise through hires and acquired talent across multiple disciplines. We also welcomed two new members to our Board, which now includes 50% representation by women. Once again, we were at the front of the pack with the release of our inaugural ESG report in the fourth quarter, building upon the work down in our sustainability report in 2020. While we are proud of these initial steps, we recognize much work remains ahead. We look forward to setting new standards for our industry in this arena in the upcoming years. It has often been said, but it’s worth noting again that we are on the precipice of an incredibly exciting moment in U.S. cannabis. The legal U.S. cannabis industry is forecast to almost double again in the next five years, reaching over $46 billion in annual sales by 2026. Because we lead with strategy, follow with execution, maintain discipline and go deep in markets like our profitability depends on it, Trulieve is uniquely positioned and ready to meet the promise of this opportunity. We will continue to do what we say we are going to do. Thank you for joining us today, and as I always say, onward.
Christine Hersey: At this time, Kim Rivers, Alex D’Amico and Steve White will be available to answer any questions. Operator, please open up the call for questions.
Operator: [Operator Instructions] And today’s first question comes from Derek Dley with Canaccord Genuity. Please go ahead.
Derek Dley: I wanted to follow up just on the -- now that we’re 6 months into the integration of Harvest and Trulieve, can you just comment on how some of the Harvest stores that have been rebranded to Trulieve are performing? I appreciate your statistic on a 75% increase in transactions, but in terms of revenue, are we seeing incremental revenue? I think 35% was a number mentioned on the last call. And if you can just sort of provide some of the initiatives that you’re implementing, whether it’s increased SKU count, increased product offering within those stores that’s helping drive the outperformance?
Kim Rivers: Yes, sure. Thanks, Derek. So, as we noted on the call, we have the most data as it relates to the rebranded stores in Florida because those were the initial required stores by regulators to be transitioned into the Trulieve brand. Those stores, as we noted on our call, we have seen significant increases from baseline Harvest numbers at the time of acquisition. We absolutely are continued and are committed to bringing those stores into the fold and into our, call it, Trulieve legacy standards as it relates to performance and strides have been made. As the first step, of course, is to have the right product mix in those stores and to adequately bring them into our marketing cadence and outreach cadence, which we believe that we’re successfully doing and this continue to trend in the right direction. As we noted on the call, we have just -- since the beginning of the year, successfully rebranded the stores in Maryland and in Pennsylvania and are undergoing similar efforts in both of those markets now. And so, we should have better color for you as we get some time of performance in those markets. We will be -- and I think this is an important note that we didn’t mention in our prepared remarks, we will be rebranding some Trulieve -- stores into Trulieve brand in Arizona this year. So we’re excited about that. That is going to go in a more, I’ll call it, disciplined pace as, of course, we recognize the brand equity of the Harvest name in that market. And so, we do want to be thoughtful in terms of how we transition those over, but there are some stores that are not currently branded Harvest that makes sense for us to go ahead and rebrand Trulieve. So very interested on those performance, and we’ll have more to talk about on that as the year progresses.
Derek Dley: Okay, great. And then, just one more. In terms of -- you mentioned 30% of your dispensaries are now outside of Florida, which is helpful. But can you comment on perhaps the retail and wholesale split that we should expect going forward? And just some of the learnings you’re gaining as you’ve increased your wholesale exposure with this transaction and just entry into new states?
Kim Rivers: Sure. So, we’re not reporting on a segmented basis, as I’m sure you noticed. However, to your point, we will be -- and we’ll continue to ramp wholesale in markets across the country. Of course, in Pennsylvania, where we have a strong wholesale platform, that did take, I think, consistent with likely comments that you all heard from other folks, that did take a bit of a hit in Q4. We are increasing wholesale operations as well in Maryland currently with expanded capacity coming on line in Maryland ahead of what we view as a likely path to adult use. So, we like that strategy in Maryland by having, again, branded products and branded retail, but also having that secondary channel built out with appropriate supply. And of course, Massachusetts, we are increasing kind of month-over-month, our wholesale metric in Massachusetts as well. Interesting, we’re going to be evaluating Arizona. To date, Arizona has not had any meaningful wholesale through the previous Harvest platform. So with additional capacity and with rightsizing and adding some capabilities in terms of production and ability to get different branded products produced in market in Arizona, we are going to be exploring potential wholesale opportunities in Arizona as well. So, certainly a growing part of our business and one that we do have certainly initiatives around for this year. However, I will say that we’re certainly leading with the strategy of branded products through branded retail channels, and we think that that’s important and that certainly is at the top of the list for initiatives for this year.
Operator: And the next question today comes from Camilo Lyon with BTIG. Please go ahead.
Camilo Lyon: I wanted to focus a little bit more on gross margin. And Alex, you gave some good detail on how to think about the long-term opportunity. But maybe if you could just parse out in the quarter, what happened -- or maybe the puts and takes, as better said, on the gross margin line with respect to some of the more cyclical changes with respect to pricing? What did that have? What impact did that have on the quarter versus some of the more structural changes given the state mix now evolving. By our math, we’re getting to the Florida market having compressed by about -- to the mid-60s or so from a gross margin perspective. And wondering if that again is just a function of, again, more pricing dynamics or some of the integration efforts that are unfolding during this period with Harvest? So, any sort of color to isolate what is actually ongoing versus what is more temporary in nature would be really helpful.
Alex D’Amico: Sure. Yes. So obviously, margin, as we noted, was significantly impacted by the Harvest acquisition, right? So, we had various GAAP accounting impacts such as we reported on past acquisitions, fair value step-up of inventory was approximately $38 million and other transaction, integration and nonrecurring costs that got us to an adjusted -- when you add those all back, you get to an adjusted gross margin of 59%. So, you’re looking at a true delta of about 10% quarter-over-quarter when you remove those nonrecurring and integration costs. And the majority of that is the acquisition, the integration of the Harvest assets, which traditionally operate a lower margin and EBITDA profile not built out and were optimized without the full benefit of cultivation to support the retail part of our strategic plan, as Kim noted, in 2022, reliance on third-party retail revenue and wholesale presence. That was the primary driver of the true margin delta in the quarter. You noted, as we spoke about in the past, we had -- it’s our promo quarter, right, with the holiday. So, there was an impact there kind of in the legacy Trulieve markets. But, as we also noted prior many times, like inventory flow through product mix will swing a few basis points quarter-to-quarter, and they generally offset each other in the quarter from a legacy perspective. And then, you can and will see that couple of basis-point swings quarter-to-quarter going forward.
Camilo Lyon: Got it. So, is it right to think that the biggest opportunity is from a gross margin perspective? I know you talked about more branded products through your own retail stores and the verticality of that, that’s pretty clear. If we’re looking at it from a state perspective, is it really coming up and integrating Harvest operations in Florida up to Trulieve legacy type of operating structure and margins? Is that the biggest opportunity you see going forward?
Alex D’Amico: I think the biggest opportunity is kind of across the platform in our core markets, building our cultivation to support our leading retail, right? And then, as we do that in the first half of the year, you should see incremental pickup in margin during the back half of the year.
Camilo Lyon: Perfect. And then, Kim, you made some pretty impressive and interesting announcements during the quarter from a partnership perspective, Connected being one of them. Can you talk about the impetus behind those partnership agreements that you signed? And where are you trying to take the market? Clearly, Florida is -- competitive pressure as we all know and very much are aware of. So, what are you trying to do with these partnerships in terms of product quality, brand awareness, and ultimately, what is the result you’re trying to strive for here?
Kim Rivers: Sure. So, we are thrilled with our current partnership and folks that we’ve announced and with existing partners. And so, we introduced this idea of having partners in Florida a number of years ago. We were the leader in doing that in Florida and felt that it was -- and really the rationale then holds true today. It’s really about bringing best-in-class products to our shelves so that we can offer depth and selection to our customers regardless of the market that we’re in. And we -- particularly in Florida with our partnerships that we recently announced are focused on premium products and having high-quality brands on our shelves. And these are, of course, with Connected specifically, it’s a relationship that Harvest has had for a very long time. We’re very familiar with the team. We’re very impressed with the quality of their genetic portfolio that they bring as well as, again, their ability to really speak end market to that particular segment, which we believe is very beneficial, not only in selling their products, but also in the additional impact that they will have on basket size and additional items added to basket in our retail locations in Florida. So, I think that when we look at our shelf space -- and this is a broader conversation, which I’ll try to boil down in a couple of minutes here, but when we look at shelf space and positioning across the Trulieve platform and across our retail locations across the U.S., product availability does differ from market to market. And so, we have to be very-focused and we are very-focused around market segmentation around choice for customer, but also the balance between purposeful choice as opposed to confusion in category that there’s tremendous opportunity we think there as it relates to, again, our acquired stores across the U.S. And really -- and again, this partnership relationships fit into our strategy as we think about our tiered product offerings in our stores.
Camilo Lyon: That’s great. If I could ask one other question just on segmentation and product innovation and just the general kind of barbelling that you continue to see. Is there a distinct margin differential between your high-end product and your lower-priced product? Clearly, understanding the differences in basket and ticket, but I’m curious about, is there -- are you getting to a point of deficiencies on the cultivation side where the margin differential is non-existent?
Kim Rivers: Yes. Great question. And it really is going to be -- I’m going to give you my recovering lawyer answer that it really does depend, and that gets down to a subset conversation. And it’s -- so I can’t give you across the board. If I were to look at it on a blended rate, certainly, there is, we believe, additional pricing durability and margin protection, if you will, in the premium segment, which we really like. And obviously, for value, we’re also looking at product velocity, which is an input into that segment in a more significant way, if you will. But yes, to your point, and we have great margin on both sides of the spectrum, and we certainly have released and will continue to develop products and spend time on innovation in both segments. We believe very, very strongly that it is important to have product offerings and significant product offerings in both, value and in premium. And most recently, for folks who have been following us, we’ve announced a number of products in the premium category with -- both in -- and by the way, not only in concentrates, but also in flower and then the vape category. So, again, we think it’s important to have clear segmentation. And to your point though, our efficiencies on cultivation lead to better margins across the board, so -- which is a good thing. But we -- and we enjoy good margins on both ends, but certainly like the premium category.
Operator: [Operator Instructions] Today’s next question comes from Russell Stanley at Beacon Securities. Please go ahead.
Russell Stanley: I just wanted to follow up on the barbell pattern you’ve seen and your comments around the premium segment, your growth there in the face of the macro headwinds. So, just wondering, have you seen any softness in premium, or are you envisioning or preparing for any softness in that category given the macro headwinds that everyone is seeing? And I guess, if you do see that, I guess, how are you preparing for that, and which markets do you think are perhaps a little more vulnerable to others there?
Kim Rivers: Yes. Thanks, Russ. It’s really fairly interesting and that we -- in the majority of our markets, we’ve actually seen -- and we’re talking about kind of in units and in net dollars. We’ve seen increases in premium, and -- which is I know kind of falls in the face a little bit of what we might have thought as it relates to the inflationary pressure that we’re seeing, of course. And so not all markets are the same is what I can tell you. And it does appear that certain markets are being affected differently. And so, we think that, again, it comes down to value proposition of a product, and what is the perceived quality, right, for the price and whether or not that product can stand up to a customer’s perception of value, right, depending on the other choices and availability in the marketplace. And again, going back to my earlier comments, with cannabis, it’s a little bit different than other businesses, and that there’s not the same type of choice, right? There’s not the same product on shelves from market to market, which also can account for some of the differences between markets. That being said, as I’ve said, and we certainly believe, it is critical that we have a portfolio that also meets customers where they are, which means that we have to have a robust product offering also at the value segment and also in mid-tier. And so, in fourth quarter, which is -- this is typical for us, we tend to see velocity in mid tier as folks take promotional activity kind of to the bank, and those value customers may jump up in a category with the same dollar, right, they’re able to get a perceived higher value product, while we see potential more spending by that premium customer, again, kind of in a holiday environment. And so, we are certainly continuing to focus -- we’ll continue to focus on development of premium products, again, at the right value proposition, but also important for us, which we will also continue to do is to develop -- and not just to develop, but also make sure we have consistency and availability and reliability of products that are good quality products at a good price for that value segment consumer.
Operator: And our next question today comes from Matt McGinley at Needham & Company. Please go ahead.
Matt McGinley: How many of the 25 to 30 dispensaries that you expect to open this year, how many of those do you think will be in Florida versus other states? And how do you think about the need for unit growth in Florida going forward? Are you adding those units to support the patient population in Florida, or are you adding those units or relocating those units this year, more with an eye towards that market converting to adult-use at some point in the future, probably 2025 or beyond?
Kim Rivers: Yes. Thanks, Matt. So, we would anticipate that about, I would say, approximately -- and obviously, it’s going to depend on if we land in 25 or 30, but we’ll see approximately half of those will end up in the state of Florida. And then, can you give me the second part of your question one more time?
Matt McGinley: How do you think about adding those units? Are you adding those with the mindset of the patient population is growing in Florida, and so you’re adding units to support that, or are you adding these or relocating them with more of a mindset or eye towards that adult-use market that will probably be there in 2025 in Florida?
Kim Rivers: Yes. No. So, a couple of points there. One, I just want to make sure that folks heard us that we are relocating 6 locations, and those locations are Florida locations. That’s not included in our 25 to 30. So, I think that’s maybe an important distinction. And those stores are stores that are stores that were legacy stores that we had to open under the previous regime when the program in Florida first got started. And so, they had different restrictions in terms of location and zoning and whatnot, and oftentimes, they’re smaller stores. And so, we need to relocate those stores into -- to better serve our customers with our kind of improved, if you will, retail experience. And as it relates to how we think about store placement, we do a ton of analysis in terms of locations, and I think there was a great report that came out earlier this week around our store locations in the area and populations that those stores are able to serve. We do believe that we outperform our competitors with respect to our store selections and our locations. And to your point, the market in Florida is continuing to grow. We’re coming off of a period where Q4 was growing at a rate of approximately 2,500 patients per week. Now it’s growing at a rate of approximately 3,500 patients per week. So we are not seeing an underlying fundamental metric of patient growth slowing down in the state of Florida. While we may see some slower growth as it relates to spend or as it relates to consumption, we are still seeing that underlying patient growth continue to grow, and we do feel that we need to be positioned in order to serve the growing market. That being said, we always have an eye on locations that can serve and will be phenomenal locations once recreational happens in the state of Florida. So, that’s always a consideration when we think about positioning.
Operator: And our next question today comes from Andrew Partheniou with Stifel GMP. Please go ahead.
Andrew Partheniou: Thinking about your cash balance and future M&A. Obviously, the Harvest acquisition, considerable amount of integration that’s necessary and was transformational. But, you do have pro forma $300 million of cash right now by our estimation. Wondering if you could give your updated thoughts on New Jersey and New York markets or any other state that could be attractive? Namely in New York, including the included hemp operators in the Rex supply chain, which is something that’s relatively new, wondering if you have any updated thoughts around that?
Steve White: Yes. Andrew, this is Steve. For a variety of reasons, we won’t get too deep into specific markets, but we do have a well-established criteria to make decisions about entering into new markets. Generally, the stuff that we’re looking at, our assets, the price of those assets, the team, timing and whether that is consistent -- whether the potential acquisition is consistent with our overall strategy. I think it’s fair to say that sometimes our view of assets and geographic markets is different than how others assess those markets or those assets, and in many instances, the timing or the price may not be right for us. We’re not interested -- we don’t look at potential M&A like a trade. We’re building a sustainable and profitable business, and so it’s through that lens that we view opportunities. We did close 6, 7 transactions last year. So, it is fair to conclude that there have been and there will continue to be opportunities that fit our criteria, and we have previously given guidance about potential additional hubs for the Trulieve organization.
Operator: Our next question today comes from Scott Fortune at ROTH Capital Partners. Please go ahead.
Scott Fortune: Just kind of looking at your long-term target model. You mentioned 2, 3 years out, your adjusted gross margins of 50% and adjusted EBITDA of 40%. Does that include Florida and Pennsylvania turning rec? And as we look at our margins normalizing lower here with competition, how do you kind of look at maintaining your industry-leading margins going forward? And how we look at that from a longer-term perspective as you’re seeing pricing and margin compression going on within the industry here?
Kim Rivers: Yes. So a couple of, I think, questions there. First, it’s -- our forecasts never include things that are here. So it does not include recreational in Pennsylvania or Florida. So there would be, of course, additional and very probably substantive upside, if and when those things were to occur. And as it relates to how we think that we can achieve those margins, we’ve very specifically laid out our strategic initiatives on the call, and it’s going to be our ability to execute against those strategic initiatives and the flow-through into our financial performance as a result of execution. I think we have a strong track record of, again, doing what we say that we’re going to do. We have a very specific and identifiable plan on a market-by-market basis in terms of how we are going to increase financial performance in each of those markets. Again, building out supply chain is one element that we believe is critical. And getting deeper in those markets, which, again, is a philosophy and a strategy that we have held true to since the formation of Trulieve is one that we expect to, again, start to see results pull through as soon as the second half of this year. So we’re very confident in our ability to get there and believe, again, that really it’s nothing more complicated than execution, which is, again, the element that we believe. We again have a very strong track record in achieving. And also, I should just point out that, again, that guidance is a minimum guidance, right? So, we believe that we can achieve at least 60-40 in gross margin and EBITDA.
Operator: And our next question today comes from Aaron Grey, Alliance Global Partners. Please go ahead.
Aaron Grey: So, I want to go on top of the question that you answered earlier in terms of unit growth for Florida and talk a little bit more about average sales per store same-store sales. So, legacy Florida stores down 1%, up 8%, excluding those opened prior to 2018. So kind of going forward embedded in the guidance, I just want to get some color in terms of what you guys are thinking about in terms of average sales per store or same-store sales within the guide? On one hand, you have the continued patient growth. Then you also have additional stores coming on line from competitors, also some relocations of your own stores that could have an impact during the year. So, any embedded expectations in terms of average sales per store, specifically for Florida? How we should think about that going forward in 2020 would be helpful. Thank you.
Kim Rivers: Sure, Aaron. So, we’re not giving any specific same-store sales guide embedded in guidance. However, as I think indicated, we anticipate improvement across the combined network in ‘22. Again, as we continue to increase the availability and to rightsize our product portfolio offerings in our branded retail locations across the country. So performance is trending in the right direction and are looking to continue to improve again throughout the year.
Operator: And our next question today comes from Kenric Tyghe with ATB Capital Markets. Please go ahead.
Kenric Tyghe: Kim, you reported and spoke to some impressive average baskets in both, your medical and recreational markets. Just wondering in the context of the current macro and promotional backdrop, how are you thinking about the evolution of those baskets? Perhaps, any levers you can pull to mitigate some of those macro and promotional type pressures? And frankly, how disciplined do you expect the market to be in the first half of 2022, given that backdrop?
Kim Rivers: Yes. Thanks for the question. It’s interesting. And like I mentioned a few times, I wish that this was as simple as giving you just an overall kind of -- all markets are not the same and so we are seeing different impacts in different regions across the U.S. And interestingly, we have not seen as much pressure on necessarily the basket as one might anticipate where we -- what we are seeing, as I mentioned, is kind of consumption overall depressed and relatively flat again from quarter-to-quarter. So, I guess, the positive is that we’re not necessarily seeing a precipitous decline in a basket and -- or an average ticket across markets. And we do believe that it’s important in order to hold or defend that basket, product offering, selection, innovation, again, high end and lower end. We’ve introduced a variety of products in Q1 that will start to pull through in Q2 in Florida, in particular, of -- we call it basket edition type products. The products that are priced underneath their $5, $10 or $15 that are quick at register type products, which we think and we have seen from early data have certainly helped in terms of defending, right, against any potential erosion in basket. But again, moving into Q1, we’re not seeing any significant decline there. And again, I think that this is just a period of time where it’s kind of overall more of a macro consumption challenge than it is a specific kind of out the register impact.
Operator: And our next question today comes from Spencer Hanus with Wolfe Research. Please go ahead.
Spencer Hanus: When you adjust for the seasonality in the industry, are you seeing any change in promotional activity from 4Q to 1Q in Florida? And then, when do you think we’ll start to see an improvement in Pennsylvania pricing, which has been under pressure recently?
Kim Rivers: Yes. Thanks, Spencer. So, Q4 to Q1, as we mentioned, Q4 is the highest. It’s Q4 and Q2 in our business across the industry are the higher promotional quarters. You’ve got Q4 obviously with the holidays, both Black Friday or -- and Green Wednesday, and then, of course, over the end of the year holiday period. And then in Q2, you’ve got 420, and then 710. So Q1 is in line with previous seasonality and the discounts. There’s discount relief or promotional relief in Q1. In Pennsylvania, specifically, we’ve talked about this, I think, throughout the last year and that there was a normalization of pricing that needed to occur in Pennsylvania, and we believe that that’s happened. And we do believe that baseline pricing in Pennsylvania we think has stabilized. And the impact that we’re seeing in Pennsylvania now, we believe to be more transient in nature and really a fallout of the vape issue that began to happen in Q4 and more directly impacted wholesale channels in Q4 as it was widely telegraphed and folks were ramping down both production and ordering of -- throughout the vape category, while they waited to see what exactly what happened in Q1. Q1, as the vape recall actually did occur, and so all the businesses across Pennsylvania did, of course, have that impact, both again, at wholesale and also at retail. And that’s creating, I think, some fallout across the -- and some noise across that market. And so, it’s a little harder to decipher because that noise is built in, but what we believe anyway is that pricing in general has stabilized. There’s some promotional -- certainly heightened promotional activity in PA, but difficult to discern whether that’s fundamentally driven or if it’s driven in response to reaction to this regulatory issue that we believe will flush out as the year continues. Important to note, which I haven’t yet -- in Pennsylvania, for us specifically, we have gotten additional products approved by regulators in Pennsylvania, both in value Flower segment as well as in cannabis-dried terpene based. So we’re looking to roll those out, and again, we should have some stabilization in that market as it relates to the vape issue coming into Q2 and certainly, for the rest of the year.
Spencer Hanus: Got it. That’s helpful. And then, regulators allowing wholesale sales in Florida would be a significant opportunity for your business. How open are regulators to making that change? Where do they need to see to do that? And then, any updated thoughts on when you think Pennsylvania could go rec or we could see some change there on the regulatory front?
Kim Rivers: Sure. So, Florida just ended session, and there was not movement there or an appetite for movement this legislative session. We’ll need to watch next session. And likely between now and next session, there will be some activity as it relates to ballot initiative. So, next session would be the session that if the legislature 1 and 2 posture or position ahead of that initiative going to the voters, that’s the session that we would see that activity occur. As a reminder, that is what happened with the medical ballot -- with the initial ballot initiative that expanded the medical program. So, it’s certainly a pattern that could be followed. I couldn’t really tell you in terms of likelihood. I think it’s going to depend on response and reaction once the, again, ballot initiative gets kicked off in responses to that. As it relates to Pennsylvania, clearly, we all, I think, would love to see some activity by the folks in Pennsylvania to move forward, and certainly, the increased kind of getting closer to adult-use sales in neighboring markets adds pressure, we believe, to that conversation. And again, it’s a crystal ball type question. But, we are encouraged by increased conversation that is substantive by folks in both parties in Pennsylvania. And we’re working hard in that market to advocate for adult-use.
Operator: And ladies and gentlemen, our next question today comes from Andrew Bond at Jefferies. And everyone, I do apologize. It looks like Andrew’s line is not clear so we’ll go to the next question, which is from Eric Des Lauriers with Craig-Hallum Capital. Please go ahead.
Eric Des Lauriers: Can you talk about the ability of the Florida market to absorb more supply, and how that then relates to expectations for you guys bringing additional supply on line, I guess, just the overall pace of that additional expansion in Florida. Thank you.
Kim Rivers: Yes, absolutely. So, Eric, we have built the Company, and we built the supply chain, specifically in Florida, to be very modular in nature in terms of how we bring capacity on as it relates to projected growth in the market and projected needs within our company of inventory flow through. So, we’re -- that discipline will continue throughout this year and beyond. And so, it is very specifically tied to how we’re projecting, and really the underlying metric there is patient growth in the market, along with when we go down to a number of physicians, number of registers, average timing of transaction et cetera. So, we feel very comfortable and confident about how we match, if you will, capacity with needed or required growth to meet our patient experience expectations in the market. And we certainly are not here to overbuild or oversaturate, but at the same time, we also want to make sure that we have plenty of supply to be able to service our customers and have depth in categories like for all the reasons that we’ve talked about on this call.
Eric Des Lauriers: Okay, great. That’s very helpful. And so I guess, just -- so we should sort of continue to think of a methodical steady expansion of your Florida capacity versus kind of a step function growth in the second half, for example?
Kim Rivers: Yes. I mean, in Florida, again, there -- now, let me be clear, it’s cultivation. So, you’re -- we’re not going to bring this -- it’s inefficient. I mean there are certain efficiencies that are built into that comment. So, we do bring in phases at a particular time. So, depending on you and I definition of what step function looks like, I just don’t want to -- I want to make sure that we’re aligned there. But yes, to your point, it will match what we believe we need from a capacity perspective to meet demand and the demand that we’re projecting through our retail channel in the state of Florida.
Operator: Ladies and gentlemen, our next question today comes from Vivien Azer with Cowen. Please go ahead.
Vivien Azer: So, I appreciate the portfolio optimization work that you referenced, Kim, in terms of putting lower-priced product at the front register. That’s certainly, I think, helpful in terms of driving basket. But the reality is, there is a lot of competitive discounting and promotion in the category. So I’d love to get your perspective and your philosophy really around promotional spending because what we’ve seen in alcohol, there is two very different approaches, right? You can just reduce the price, but that signals something very specific to the consumer or you can do more value-added kinds of promotions. So, I’d love to understand how you think about the balance of those two? And where you guys are leaning from an execution standpoint today? Thank you.
Kim Rivers: Yes, Vivien, thanks. So, we are absolutely very strategy-driven in promotions, and we have specific drivers that we’re looking to accomplish with every promotion that we run. So, whether that’s to increase an average ticket, whether that’s to move product in a particular category where we have greater margin and availability to begin with, whether that’s to encourage a customer to come back for another visit and whether or not that’s to encourage a customer to try a product segment that we know -- would normally comprise a basket, but perhaps isn’t. But we have strong indicators that if a customer were to try that product that they may very well make that part of their repeat buy moving forward. So, it is very data-driven, and it is very strategic. And we are looking and we do measure an outcome as a result of any promotion that we may run.
Operator: Ladies and gentlemen, our next question is the call from Andrew Bond [ph] at Jefferies. Please go ahead.
Unidentified Analyst: Hey. Andrew Bond [ph] on the line for Owen Bennett. Can you all hear me okay?
Kim Rivers: We can.
Unidentified Analyst: Awesome. Just very quickly, going back to the commentary around partner brands. Could you just give some more detail around specific qualities you evaluate when considering bringing on additional partnerships? And then, related to that, just how you plan to balance that between and expanding branded wholesale operation outside of Florida? Thank you.
Kim Rivers: Sure. So, when we’re looking to evaluate a brand partnership, it needs to fit into a couple of different or one of a couple of different criteria. One is, certainly, if we’re thinking about something that’s more national in nature, a particular customer segment and/or skill set that that particular brand can bring into our portfolio that doesn’t make sense, quite frankly, for us to develop or that they’re significantly developed because of their time and market where the equity value that we believe is built in that brand, and makes sense to have a partnership relationship as opposed for us to start to build it from scratch internally. So, an example there would be our partnership with Blue River. Blue River is a solvenltless company, they’ve been in market for a decade plus and have a sense of experience in the California market, very competitive market, as we all know. And it’s a beloved brand known for high quality, high efficiencies, high flavor, taste, et cetera, has a cult-following within that space. And we’ve brought Blue River into Florida. We’ve also launched with them in Massachusetts and are looking to bring them into the product portfolio in other markets. The second would be our regional brand. And our regional brand is a brand that has very strong ties to a local market that has typically and often times could have an advocacy element to them. An example there would be, for example, our Black Tuna stream with Bobby Tuna, and we’re going to have another regional partnership that we’re going to announce here very soon. Bobby spent 30-plus years in prison for cannabis in the ‘70s. He has been an advocate for legalization. He also originated the senior tour in Florida, which actually advocated for the passage of the amendment, too, where he went around the state and had conversations with seniors and assisted living facilities around cannabis, and why it was important for them to vote yes on that amendment. And so, we partnered with Bobby, and he’s been a wonderful partner in the state of Florida. That strain has actually -- it sells out every time we have it. And he’ll be a great partner for us as well as we look to launch in other markets, for example, Georgia and neighboring markets in the Southeast. So, those are the two kind of buckets, if you will, that our brand partnerships typically fall into. As we think about, again, brand partnerships versus how we think about our own product portfolio on a go-forward basis and specifically in wholesale channels, again, it gives us the flexibility in certain markets. So, let’s take Massachusetts as an example. Blue River, the founders of Blue River actually live in Massachusetts now. So, absolutely, we’ve added Blue River to our portfolio in Massachusetts. They’re an advocate not only for their own products, but also will allow us to sell through additional Trulieve branded products through the wholesale channel through doors that they have relationships with or that they have opened. So, it’s certainly a mutually beneficial relationship in a market like Massachusetts. And Bhang is another brand partner that we have that has been in market for I think, 12 years. Very, very strong in the chocolate space, have a very strong presence in relationships with retail doors across several markets. And so another great, I’ll call it, a door opener for additional Trulieve products and Trulieve branded products in the wholesale channels.
Operator: And ladies and gentlemen, this concludes our question-and-answer session. I’d like to turn the call back over to Christine Hersey, for any closing remarks.
Christine Hersey: Thank you all for your time today. We will be hosting an analyst event in Tallahassee, Florida on June 7th. Analysts who are interested in attending should contact me directly for additional details. Space will be limited, but we will webcast the management presentation in conjunction with the event. In the meantime, we look forward to providing additional updates during our next earnings call in May. Thank you again, and have a great day.
Operator: Thank you, ma’am. And ladies and gentlemen, this concludes our conference call today. Thank you all for attending today’s presentation. You may now disconnect your lines, and have a wonderful day.